Operator: Good morning and thank you for waiting. We would like to welcome everyone to Ambev’s Fourth Quarter 2019 Results Conference Call. Today with us, we have Mr. Jean Jereissati Neto, CEO for Ambev; and Mr. Fernando Tennenbaum, CFO and Investor Relations Officer. As a reminder, a slide presentation is available for downloading on our website at ri.ambev.com.br, as well as through the webcast link of this call. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company’s presentation. After Ambev’s remarks are completed, there will be a question-and-answer section. At that time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Ambev’s management and on information currently available to the company. They involve risks, uncertainties and assumptions, because they relate to future events, and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Ambev and could cause results to differ materially from those expressed in such forward-looking statements. I would like to remind everyone that as usual the percentage changes that will be discussed during today’s call are both organic and normalized in nature, and unless otherwise stated, percentage changes refer to comparisons with 4Q 2019 results. Normalized figures refer to performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of Ambev’s normal activities. As normalized figures are non-GAAP measures, the company discloses the consolidated profit, EPS, EBIT and EBITDA on a fully reported basis in the earnings release. Now, I’ll turn the conference over to Mr. Fernando Tennenbaum, CFO and Investor Relations Officer. Mr. Tennenbaum, you may begin your conference.
Fernando Tennenbaum: Thank you. Hello, everyone. Thank you for joining our 2019 fourth quarter and full year earnings call. I’ll guide you through the financial highlights, including below-the-line items and cash flow. After that, Jean Jereissati will give more details about our operations in Brazil, CAC, LAS and Canada. Beginning with the main highlights, on a consolidated basis in the fourth quarter, top-line grew 5.7%, a combination of volume increasing 3.4% and net revenue per hectoliter up 2.2%. In the full year, net revenue was up 7.9% with volume growing 2.7% and net revenue per hectoliter growth of 5%. EBITDA reached R$6.9 billion in the quarter, an organic decline of 2.7% and the EBITDA margin decreased 370 basis points to 43.7%. In the full year, EBITDA was up 1.5% with margin contraction of 260 basis points to 40.2%. Our bottom-line performance was impacted mostly by a higher cost of sales resulting from significant commodity and transaction currency headwinds. Normalized net profit for the quarter was up 24.4%, delivering R$4.6 billion. In the full year, normalized net profit was R$12.5 billion, 8.5% higher than 2018. Our cash flow from operating activities was R$18.4 billion, in line with 2018. CapEx in 2019 was 42% higher than in 2018, with most of the increment driven to our innovation. Similar to last quarters, we continue to report the results of our operations in Argentina, applying Hyperinflation Accounting. I will now move to our divisional results and start with Brazil. In the quarter, Brazil EBITDA reached R$4 billion, a decline of 6.6% versus Q4 2018, while margins contracted for 150 basis points to 45%. In the full year, Brazil EBITDA was R$11.7 billion. We saw decline of 4.5% versus 2019, while margins contracted 500 basis points to 40.9%. In the full year, cash COGS per hectoliter increased 18.4%. We missed our guidance of mid-teens mainly due to packaging mix. In the quarter, Beer Brazil top-line grew 1.2% with a volume increase of 1.4%, while net revenue per hectoliter declined at 0.2%. EBITDA for Beer Brazil was down 12.5% in the quarter with margin contraction of 710 basis points to 44.9%. Cash COGS per hectoliter grew by 17.5% impacted by commodities and FX. In the full year, top-line in Beer Brazil increased by 5.6%. Volumes were up 3.2%, while Nielsen reported industry growth of 2.4%. EBITDA was down 6.5% with margin contraction of 530 basis points to 41.6%. Such margin contraction was mostly linked to FX and commodities cost pressures. In NAB Brazil, top-line was up by 13% in the fourth quarter. The result of 16% volume growth and a net revenue per hectoliter decline of 2.5%, driven by a different pricing calendar than in 2018 and affordability initiatives. EBITDA in the quarter increased 51.8% with margin expansion of 1,160 basis points to 45.3%. In the full year, top-line in NAB Brazil increased by 16.1%. Volume grew 11.3% and EBITDA was up 9.5% with margin contraction of 230 basis points to 37%. Moving now to Central America and the Caribbean, we continue to be very excited about Central American/Caribbean. In the fourth quarter, net revenue grew 9.8%, a combination of a 4.3% increase in volume and a 5.3% net revenue per hectoliter growth. EBITDA in the quarter reached R$885 million, posting a double-digit growth of 19.1%, once again driven by a strong performance in the Dominican Republic and margin expansion of 350 basis points to 45.3%. In the full year, top-line in CAC increased by 10% and EBITDA was up 22% to R$3 billion with margin expansion of 440 basis points to 43.8%. The other operating income increasing the year is mainly explained by the $18.5 million insurance compensation, we received for the damages caused by the Q3 2017 hurricane season in the region. Without such compensation, EBITDA growth would have been 19% in the year. Switching now to Latin America South, top-line grew 13.8% in the quarter. We saw net revenue per hectoliter growth of 13.7%, while the volume was flattish increasing 0.1%. In Argentina, we saw the second half of the year with better trends in the first half, meanwhile, social unrest in Chile, and especially in Bolivia, both effective performance in 4Q 2019. EBIT in LAS for the quarter was up 2.2% with margin contraction of 540 basis points to 46.9%. Cash COGS per hectoliter in the quarter increase of 18.7% mostly driven by FX and inflation. In the full year, top-line in LAS increased by 15.1% and EBIT was up 12.3% with margin contraction of 110 basis points to 43.8%. Turning now to Canada, in the fourth quarter, top-line in Canada declined 0.5%, a combination of a 1.0% net revenue per hectoliter increase and a 1.5% volume decline, which was mostly driven by a soft beer industry. EBITDA reached R$517 million, 16.4% lower than in the fourth quarter of 2018 with margin contraction of 560 basis points to 29.3%. Cash COGS per hectoliter increased 17.8% negatively impacted by increased commodities prices, higher mix of imported beers and lower dilution of fixed costs. In the full year, top-line in Canada decreased by 1.9% and EBITDA was down 10.7% with margin contraction of 290 basis points to 29%. As one of the many efforts to increase volume in our ready-to-drink category. We announced the acquisition of Goodridge&Williams distillery, the producer of Nütrl, one of the fastest growing [RGD] [ph] brands. Now back to consolidated figures below EBITDA. In the fourth quarter, net financial results totaled an expense of R$1.6 billion, 6% lower than in 4Q 2018. The main items in the financial expansion in the quarter were: first, interest income of R$151 million driven by our cash balance; second, interest expense of R$346 million, there also include interest incurred in connection with the Brazilian Tax Regularization Program as well as a non-cash accrual of approximately R$70 million related to the put option associated with our investment in the Dominican Republic business. Third, R$576 million of losses on derivative instruments, which were up year-over-year explained by the increase of FX hedges, carry cost linked to our cost of goods sold and CapEx exposure in Argentina. Fourth, losses on non-derivative instruments in the amount of R$537 million, mainly explained by an adjustment in the fair value of the put option in the Dominican Republic and by non-cash intercompany FX variation, mostly linked to the Argentinean peso depreciation. Fifth, taxes on financial transactions in the amount of R$72 million. Sixth, R$183 million of order financial expense, partially experienced by accruals on legal contingencies and pension plan expenses. Seventh, R$93 million of exceptional financial expanses mostly explained by a state amnesty payment. Finally, eighth, R$92 million of financial income related to non-cash incomes resulting from the adoption of the hyperinflation accounting in Argentina. In the full year, the effective tax rate was 5.8% versus 13.5% in 2018. Cash generated from operating activities in Q4 2019 was up R$9.6 billion, which is 9.6% higher than last year. In the full year, cash generated from operating activities is stable, reaching R$18.4 billion. CapEx reached R$2 billion in the quarter and R$5.1 billion in the full year, increasing 42% versus 2018. Before I pass on to Jean, I’d like to welcome, Lucas Lira, as incoming CFO as of April 29. I have been working closely with him for the last 15 years, and I couldn’t think of anyone better prepared than him for the challenges ahead. Thank you very much. Jean will now share some initiatives and thoughts on Ambev’s operations before going to Q&A.
Jean Jereissati Neto: Thank you, Fernando. Hello, everybody. Good morning, good afternoon. First of all, I would like to thank Bernardo Paiva for his almost 30 years of service to Ambev. We wish him the best of luck and success going forward. This is my first call. I would like to focus on 2 things. Quickly review 2019, what worked, what didn’t, and share my perspective on 2020 and beyond. Facing the brutal facts, 2019 was not an easy year, FX and commodities, headwinds pretty much across the board significantly impacted our profitability. We had a tough operating environment in important countries like Argentina’s macro environment, and Bolivia’s social harvest. The second half of the year was not good particularly in Brazil Beer due to competitive dynamics. And we continue to see the industry headwinds in Canada. On the other hand, 2019 was also a year where we delivered some important results and continue to invest behind our future growth. In Brazil, beer volume was back to growth and our top-line was more balanced. Our high-end portfolio delivered very solid performing, growing double-digit. Our innovation pipeline continued to connect the consumers and increase its relevancy in our results. In NAB had an overall excellent performance, meanwhile, COGS continue to deliver consistent strong results, not only in Dominican Republic, but also in Guatemala and Panama. In Canada, we continued to place important bets in our innovation pipeline and beyond beer portfolio, and last but not least, we pushed ahead on our transformation journey of becoming more consumer centric, more customer centric and digitally transforming our business. If we take a closer look at Brazil Beer, volume grew 3.2%, and that revenue per hectoliter increased 2.4%. Meanwhile, the industry estimated by Nielsen to have grown 2.4%. Speaking of our brand, the Skol family was back to growth in the first quarter, ending the year was stabilized with the launch of Skol Puro Malte. Brahma brand power improved, and the brand remains innovative, such as the recent launch of Brahma Duplo Malte, each of Budweiser, Stella and Corona grew double digits, that was the case with some of our key domestic premium and craft brands, such as and Hoegaarden. So still early days, the debut of Beck’s in the Brazilian market have had a great momentum. Our smart affordability brand, such as Nossa, Magnífica and Legítima continues to connect with more and more regional consumers. Turning to Brazil NAB, we have an outstanding year with 11.3% volume growth, 16.1% net revenue and 9.5% EBITDA growth. This result was driven mainly by initiatives in premiumization in this smart affordability. Also, our dedicated innovation team for NAB was responsible for the launch of Natu, an all-natural soft drink made from banana, different juices, fruits and [sparia] [ph]. And we also came out with the new visual brand identity for Guaraná Antarctica. CAC continued to deliver excellent results in 2019. Our balanced top-line growth with 5.3% volume and 4.4% net revenue per hectoliter growth, 22% EBITDA growth and 440 basis points of EBITDA margin expansion. These results were driven by the strong brand performance of Presidente in Dominican Republic, Atlas Golden Light in Panama, and Corona and Modelo Especial in Guatemala as well as package innovation. In last, we had a very volatile year with a challenging macroeconomic and political backdrop throughout the region. Volumes decline 3.5%, while net revenue grew 15.1% and EBITDA increases 12.3%. Argentina suffered during the first half, however, volumes started to perform better in H2. Although, given the FX devaluation, cost remained under pressure. Both Chile and Bolivia suffered social unrests in Q4, which affected volumes. On the other hand, we see that our portfolio was healthy, and we are well positioned in all cultures to benefit from a more stable operating environment. Lastly, Canada had a very tough year with volume decline driven by a soft beer industry and commodity headwinds leading to 10.7% decline in EBITDA in a margin contraction of 290 basis points. We will continue to focus on further develop in our portfolio with brand like Michelob Ultra, while in parallel, we will invest in other categories such as CBD, self serves, and the ready-to-drink beverages. An example being the recent acquisition of the Neutral brand, and award winning spirits company. So what we know, strong first half, week second half, some important accomplishments related to our plan for the future that’s pretty much 2019. Now let’s talk about the future. 2020 is a year where we have to do better, and I believe we can do it, particularly we’re assuming the EBITDA growth in Brazil Bear, while transforming the company. There we will continue to be cost pressures to FX, headwinds, albeit to a lesser extent given commodities tailwinds. And we will face tough comps in the beginning of the year, particularly in the first quarter given the peak of cost pressures as well as S&M phasing. That said, there is too plenty of opportunities going forward, it is up towards to leverage our capabilities and strengths to win the market. And to do that, we will focus on 3 things: first, Ambev has an ecosystem, we are part of a broader ecosystem that connect farmers to consumers, and we have to be protagonists and collaborative to accelerate the expansion of this ecosystem in a healthy and sustainable way. In the float line this translates into customer satisfaction, becoming the best partner to our clients. For instance, in Brazil last year, according to our internal figures, we saw an improvement of 16 points in net promoter score, which measures customer satisfaction. Also, we have trimmed back and set the most ambitious goals in terms of plastic pollution of the industry. We work to get rid of 100% of our plastic pollution by 2025. In addition, we foster our deepest creativity and drive to bring positive impact with initiatives like AMA in Brazil, our mineral water that reverts all the profit obtained with the product to give clean water access to Brazilians in need. Second, innovation as a mindset, the success of our innovation pipeline is the best metric of our consumer centricity. We are working on innovating more in smarter, moving faster, adjusting with learnings, and when successful rolling out, leveraging out scale. Just to illustrate how innovation is here to stay, in 2019 10% of our Brazil Beer revenues came from products that did not exist 3 years ago versus 5% in 2018. We are organized to innovating 5 dimensions in Brazil Beer: flavors profile and bitterness, health and wellness, reasonable, convenience and the future beverages. To support this, we have reshaped the whole organization, creating the innovations hubs that works more autonomously and in agile modes. We have invested more CapEx to improve the flexibility of our breweries and our ability to innovate, bringing the supply time to market to 2.5 months. We believe this will be a competitive advantage as we continue to evolve along with consumers. Third, business transformation enabled by technology. I know there is a lot of hype around transformations, but we are going deep here and I’m happy with the early-stage results. Through the continued expansion of our B2B platform, we believe we can deliver better service level and create new commercial opportunities for our customers. We will be ready for a 24/7 undertaking to talk in social platform, should drive traffic to customers and have regional marketing structures to have the right timing and create the right products. In Brazil, we are connecting digitally with more than 220,000 point of sales today from approximately 50,000 in the beginning of 2019. The supply chain of the future is another initiative that combines autonomous operators, sensors and state-of-the-art lines. This will ensure we bring flexibility to address a more complex world without increasing cost. And on top of that, we are seeding new ventures to address in-home delivery, point of sale marketplace and feedback, just to name a few. So to wrap up, we see a lot of opportunities across our operations like trade-up, trade-up to Core Plus, trade up to premium, pick up the growth in new beverage categories, just to name a few opportunities. All of this in a company with a strong team and a talented pipeline; a robust cash flow generation that allow us to have the right resources to invest behind our brands, to connect with consumers; a large and diverse portfolio; and a clear strategy and priority. I’m not saying the road ahead will be free of bumps and turns, but we are no strangers to operating in volatile and uncertain markets, and there will always be competitive pressure. We love a good challenge. Over the last decades, we have delivered consistent results more often than not. And it is up to me and my team to live up to that legacy. And we are looking forward to it. So thank you. Thank you everybody. I think we can now move to the Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Isabela Simonato with Bank of America. Please go ahead. Ms. Isabela, your line is open.
Isabela Simonato: Good morning, everyone. Good morning, gentlemen. Thank you for the questions. I would like to know, based on your guidance for Q1 with almost 20% EBITDA, if sales [come from barn] [ph] is that if you could address the main lines of the P&L, what will contribute to this EBITDA decline if you could give us some more color, contribution of each line to the decline? And moving forward in the year, within those lines, where is the main driver of recovery here, so we can deliver an EBITDA growth in the full 2020? Thank you.
Fernando Tennenbaum: Hi, Isabela, Fernando here. Let me put a little bit context behind it. We are excited about 2020 and we expect to grow EBIT in 2020. But given – when we look at our cost of goods sold kind of quarter-by-quarter, it’s fair to say that the peak cost pressure is going to be on the first quarter. And also, we decided to kind of invest a little bit ahead of the curve in terms of sales and marketing, because we are excited about the year so that is going to – there is going to be more investment in the beginning of the year. When we couple these 2 things then it leads to attest Q1. But we see the strategy that we have for the year. That’s why we decided to be upfront about it. So we don’t surprise the market. But our view is actually growth for the year. We just want to highlight that it’s going to be starting from a low base, because we’re investing ahead of the curve and we have some cost pressures in the beginning. But we gain momentum as the year goes by.
Isabela Simonato: Thank you. But regarding the cost curve, when you look especially in the FX, actually we would expect the stronger pressure to come in Q4, right, when BRL depreciated the most? I mean, does the hedging policy continues to be the same? You have one year [in excess] [ph] or was anything different that would explain the cost pressure to be stronger in Q1?
Fernando Tennenbaum: No, it’s a combination. It’s a combination of FX and commodities. And it’s always – whenever you see year-on-year it was compared to the previous year. So we expect the biggest cost pressure to be Q1.
Isabela Simonato: Okay, right. Thank you.
Operator: The next question…
Fernando Tennenbaum: And then just – sorry, just to reinforce, we mentioned that there FX cost pressures, we have commodity tailwinds. So the net-net is less cost pressure than we had in 2019.
Isabela Simonato: Okay. That’s…
Operator: The next question is from Antonio Gonzalez with Credit Suisse. Please go ahead.
Antonio Gonzalez: Hi, guys. Good morning. Well, firstly, Jean and Tennenbaum, congrats on your respective appointments recently and my best wishes for both of you. I got 2 questions if I may. First, Brito referenced this morning at the ABI call, revisiting the category expansion framework, right, I mean, some parameters of the model anyway, affordability, price elasticity and so on. And he cited some examples, Mexico, South Africa, Colombia. And I was wondering if you can elaborate on how this might apply to Brazil, specifically, I mean, if I look at this quarter, it is obvious that you guys pursued more volume instead of margins, right, and your pricing was a little bit more aggressive, et cetera. So I wanted to ask if you can frame these conversations for the very specific case of Brazil; and if you expect that volume acceleration to materialize already in 2020 or you would only expect a more gradual progression towards higher volume growth rate into the future? So that’s number one. And then, number two, I wanted to ask on your guidance and, I guess, the metric that you feel comfortable sharing with the market. You guys are not sharing a specific range of cost per hectoliter for this year, right, as it is in the last couple of years? And also ABI is providing this range for EBITDA growth, right, [to 25%] [ph]. So I understand that providing a very granular number market by market for you guys might be competitively sensitive. But I wanted to ask if directionally you can put in perspective this guidance from ABI. Would you expect a similar growth rate or is there any reason, perhaps a profit warning that you’re launching for 1Q in Brazil that should drive your overall growth below the range that ABI has indicated? Thank you.
Fernando Tennenbaum: Antonio, let me start by the second question, Fernando here and then Jean will tackle the first one. I believe our guidance at the end of the day is kind of to grow EBITDA in Beer Brazil. That was the important guidance. I believe the – you are calling profit warning. I will not say if I would call the same way, because it’s much more of a part of our strategy to invest a little bit ahead of curve. And some kind of a hedging dynamics that you know that your cost of goods sold are a little bit harder on the Q1. When we have these 2 things, if we issue the guidance to grow a bit, and we start if a very low Q1, I believe that could cause some noise. So rather be upfront about it. It’s part of our strategy. We want to invest ahead of the curve, because we’re excited for the year. And so that’s why we kind of give a very clear view on the Q1. So similar extent, I believe a couple of years ago, we also give guidance on cost of goods sold on soft drinks between Q3 and Q4, because the numbers were kind of a very volatile. And it was important to give the right direction to the market. So there was the context of the Q1 more than anything else. But to answer your question, the guidance for Q1 doesn’t impact anything at all, our view for the full year. It’s pretty much, how designed our plans since the end of last year.
Jean Jereissati Neto: Antonio, yeah, coming back to your first question. We are – we have been very excited about the category expansion framework. And we for – for the whole year, last year 2019 we have been tropical lies in it with this view about consumer-centric and looking for the Brazilian mindset. We made more than 30,000 interviews in Brazil with consumers, 15,000 samplings of products in the market new from competitors. We created in our Draftline internal agency, one area of social listening that we participate and we captured more than 16 million conversations about the year. And based on that, we kind of [tropicalizes] [ph] the category expansion that came initially from SAB to Brazil, a little bit more complex, a little bit more deep, and based on that we are really putting our efforts of resource allocation, and our efforts of really differentiating the brand, based on the occasions, and then fulfill this framework with the pipe – of our pipeline of innovation. And based on that, it was that Skol Puro Malte was launched. And it was a biggest contributor of our volumes in 2019. With that framework, we brought Bohemia that it was a brand that was very low profile to the core plus segment in the Classic Lager, and it’s really on fire. And with that 2, we implemented smart affordability play with the regional brands and Magnífica is doing amazing, Legítima and Nossa doing good too. So we are very excited about the way we are featuring the market today, and how the market will be in the future. Category expansion is really driving us, but in a deeper way, because we [tropicalized] [ph] it. And we saw our volumes back to growth in 2019 based on that learnings and based on the first initiatives that we have. And we believe that it views, we’re continuing move forward based on that strategy. Our volume will continue to gain momentum. Of course, Brazil is very volatile. For example, the Q1 that we had in 2019 was a very strong Q1 in terms of volumes. And we believe that in the bumps in the road, we want to see volumes really going up consistently.
Antonio Gonzalez: All right. Thank you so much, Jean. Congratulations again.
Jean Jereissati Neto: Thank you.
Operator: The next question is from Luca Cipiccia with Goldman Sachs. Please go ahead.
Luca Cipiccia: Hi. Good afternoon, Jean and Fernando. I guess, congratulations to both of you for the new roles. And I was going to ask 2 questions. The first would be on to Jean, on pricing strategy and timing going forward. I was wondering, clearly on the last couple of years, it’s been a friction between support in volume growth, pricing, timing, competitive pressure, promotional activities so on and so forth. And so my question is, should we think about the future with Ambev, possibly being a bit more flexible with way – prices are above through into the market that we use to have a little bit of calendar fixed in the third quarter. And I’m curious to hear your views and whether that’s still going to be the case or you may be more opportunistic or anything may change on that front. So that would be the first question. And then secondly, I think, you make reference to a number of investments in technology, digital opportunities that I guess is a lot of – that it’s going on in that space. And then, I was curious, if you could maybe nearly down to – if you were to mention one particular initiative or one particular capability. What do you see things that could have the bigger impact for the performance? But also what do you see that Ambev actually could have be competitor advantage in doing some of this – implementing some of this initiative whether it’s through scale, whether it’s through proprietary capability or whatever else? I’m just curious to maybe narrow down a little from a priority or impact standpoint? Thank you.
Jean Jereissati Neto: Okay. Thank you very much, Luca, for the question. Look, over the long run, price really should grow in line with inflation eventually disposable income. And what we have learned over the last few years. I’m talking about the higher level strategies that depending on the economic environment, sometimes it’s preferable to adopt more inclusive pricing strategy in order to bring more consumers to the category. What we see Brazil, it is that everybody is very optimistic, we see a little bit confidence going up. But Brazilian consumer still, income is still not recovering with strength. And so we have to be very cautious about that, looking at this number. On top of that, when we layout on the execution on the season of the calendar and the pricings, we always take in consideration besides the macro scenario, the elasticity, the channels that is important to see here in Brazil, the channels in the mix trends. The category expansion opportunities, where we are bringing a lot of innovation that we have the mindset of being accretive. So it’s part of our plan. And the competitive dynamics, when we see from 2015 to 2018, with the economic crisis, our volumes declined, it’s 10 million hectoliters. And we have a very rigid and we very disciplined price strategy, independent, if we were with a positive macro scenario or with or in crisis. And we suffered some million hectoliters, because of that. In 2019, we saw consumer sentiment improving even though disposable was not rebounding. But we were making progress to recover 2.3 million hectoliters of volumes with the conduct that we had last year. Even though, the calendar, it is something that kind of – it was kind of frustrating a little bit last year, because it was very volatile you see the Q3 a little bit going through the Q4. It was something that we have to working on to do it better. So having said that, long term should be in line with inflation. Our volumes are really based on our category expansion or framework that we want to – that we are deep, and we want to bring. But we have to be is mark in the dynamics of Brazil, in the sentiment of the consumer and everything. Regarding technology. So regarding technology, so we are very excited about what we are doing with technology. So we are doing a lot of things that are in adjacencies, okay. But what time really, am I excited about, it is a transformation of our context strategy. So we have a window of opportunity. I checked it with other FMCGs, looks like we are ahead of that FMCGs that we have in the market, not even mention the beverage companies, but the FMCGs in general. We already have 220,000 clients that connect with us through the digital platforms. Our sales reps are really transforming their activities in more negotiable, more talking about liquids, talking about innovations. And we won around our B2B platform, really protect their own trade, reduce the costs of own trade, and increased our service satisfaction. Because we want to put not just beer, but all the categories that is mobile needs to buy, all the categories around not just about beverages with a marketplace. We made a deep study on pay points of the own trading. And one important cost in pay point, it is the financial cost of machines, credit cards. And we are together with this strategy put in place a fintech that reduce big time, the cost of the own trade. So this context strategy, this upgraded B2B to a broader marketplace with assortment that can connect with social platforms where we can bring consumers to the customers that we want it something that is really having my time and I’m really excited about it. So this context strategy of the future going much beyond the transaction of activities and bringing traffic, reducing pay points and costs. I really think, we will create an edge for us in the markets.
Luca Cipiccia: Thank you. Very clear. Just a real quick, this 220,000 that you mentioned that would be a share of total or out of a total? Or is – could you put that in context maybe and whether maybe here…
Jean Jereissati Neto: 25% of our clients that…
Luca Cipiccia: 25%.
Jean Jereissati Neto: Some type of connection through digital.
Luca Cipiccia: Perfect. Thank you. Thank you very much.
Operator: The next question is from Robert Ottenstein with Evercore. Please go ahead.
Robert Ottenstein: Great. Thank you very much. Just first one, I want to echo the congratulations to everybody in terms of their terrific accomplishments, Bernardo, and the big moves that have been recently announced. In terms of the quarter, I just want to push a little hard on a couple of things. The revenue per hectoliter for beer being down, if you could talk a little bit about – you kind of piece that apart? And particularly, what impact the smart affordability initiatives had on that, maybe give us a sense of how much of your mix is smart affordability and the impact on the volume? So that will be the first question. And the second question, a little bit follow-up on the technology side, and in some of the new initiatives that you talked about at your sell side or investor event in Brazil last year, is where things stand on the direct-to-consumer initiatives? What sort of progress you’ve had since then, perhaps, what percentage of the country is now – with the logistics work, which is now covered by direct-to-consumer, and where do you see that going? Thank you.
Jean Jereissati Neto: Thank you. Thank you, Robert. Thank you very much for your question. First of all, talking about net revenue per hectoliter. What happened in Q4? As we anticipated in Q3, it was much more about the competitive dynamics and the stickiness of the price increases, and then this smart affordability play, okay. So this smart affordability play for you to know is 10% of my volumes. We are happy with that. It is [smart] [ph], because we know where to do, how to do. What’s really happening in Q4, it was a little bit of the dynamics of the Q3 inside a part of the Q4. And we anticipated this in last quarter. Having said that, if you look at the level of the net revenue per hectoliter that I had in the Q4, it was a – it is still with all of that, not in terms of percentage of growth, but in the level – it is a healthy level for us we start the next year, we start 2020, okay. So this is what I can tell you about net revenue per hectoliter. The second thing is about direct to consumer. Our vision, it is that this year, we should get to 4% of our total net revenue with a direct transaction with consumer. The thing I’m more excited about, the second thing I’m more excited about in terms of technology, the first one I mentioned is the contact strategy of the future. The second one, it is part of our innovation hub that I mentioned. We are innovating in 5 dimensions: flavors, products with differentiation inside the pure malt, health and wellness and then I put their convenience. And in the convenience piece, there is a, so a demand from consumers. We are working a lot on packaging, lighter, bigger, smaller, more convenient packages. But we have a venture that’s called Zé, Zé Delivery. It’s a venture that guarantees beer at supermarket prices, codes, in 30 minutes at home. So this is a direct transaction with consumers, a great value proposition. And it’s just on fire, okay. So this is the main initiative that we have for DTC. We are doing 2 million orders in 2019 and this is expanding very fast, because we are expanding the cities. And it’s a big opportunity for us. So in terms of DTC, Zé Delivery is the most important, is part of our innovation hub, is a venture. And it’s really on fire.
Robert Ottenstein: And what part of the – or what percentage of the Brazilian population is today reachable within 30 minutes and where do you think that will be at the end of the year.
Fernando Tennenbaum: Robert, for you to understand how Zé Delivery works, Zé Delivery we connect consumers to our own, our traditional point of connections or point of sales. So it’s fair to say that most of the Brazilian population is within 30 minutes from a given point of sale.
Jean Jereissati Neto: But the app is still with the footprint. The app in the advertisement and everything is still in around 40 cities of Brazil and we are expanding very fast. So the capability to go all over Brazil in the next 3 years.
Robert Ottenstein: Very impressive, thank you.
Operator: The next question is from Thiago Duarte with BTG. Please go ahead.
Thiago Duarte: Hello, everybody. Thanks for the opportunity. I have 2 questions. First of all, it’s actually related to dividend payments and the timing of those dividends last year. I mean, last year, you didn’t pay any interim dividends and you ended up paying a larger amount of interest on capital by the end of the year, which provided a bigger tax break in the fourth quarter. So my question would be whether we should expect the same dividend or capital distribution policy in 2020 and beyond or whether this was onetime event for any reason in 2019? That would be the first question. And second, going back in – or circling back into the discussion about the revenue management initiatives and as you guys mentioned the first station regarding the timing of the price increases last year and how that affected Q3 and into Q4. I think it was Jean, who mentioned in the last question about having inadequate entry revenue per hectoliter in 2020. So if you could just elaborate that a little bit more, I mean, my question is whether you would say that the revenue management initiatives that were implemented in Q4 should exist only in Q4 or we should expect a little bit more of that into the beginning of 2020, particularly with regards to how historically revenue per hectoliter has decreased in Q1 relative to the Q4. So just wanted to understand what’s the cruise speed there in terms of revenue per hectoliter will be helpful. Thank you so much.
Fernando Tennenbaum: Hi, Thiago, Fernando here. So first on your question on dividend payments, I believe we even had this same question on a couple of calls last year. And I think after the fact, now it’s easier to understand that the reasons why we postponed the dividend towards the end of the year. For this year, probably the base case should be something similar. But these things are dynamic. Sometimes it depends on FX movements. You might have FX components on your accounts and you may have a different decision. But more likely than not, we should be following similar pattern. On the revenue front, I don’t think your kind of assessment of normally – you start on a higher base, then you get into summer, which is normally a moment that you get a lot of volume, lot of events. Sometimes you activate a little bit more, so your net revenues per hectoliter, it slipped down a little bit. I don’t think there is any difference. But what I – what Jean was referring to is that when you look the absolute levels that we start the year, when you see where the market is, I believe it’s healthy level for us to start the year and implement our price and volume strategy going into 2020.
Thiago Duarte: Okay, okay, thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Jean Jereissati Neto for any closing remarks.
Jean Jereissati Neto: So, guys, thank you very much. My first call with you, it was a little bit of one sided that I’m responding questions. I really want to be closer, have time in my agenda to be closer to you and get more feedback and make this conversation richer me in this process of this journey that I’m assuming now. So thank you very much for all the questions and let’s keep in touch. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.